Operator: Thank you for standing by, and welcome to the PulteGroup, Inc. Third Quarter 2025 Earnings Conference Call. [Operator Instructions] Thank you. I'd now like to turn the call over to Jim Zeumer. You may begin.
James Zeumer: Thanks, Rob. Good morning, and thank you for joining today's call as we look forward to discussing PulteGroup's third quarter operating and financial results. With me today are Ryan Marshall, President and CEO; Jim Ossowski, Executive Vice President and CFO; and David Carrier, Senior Vice President, Finance. As always, a copy of our earnings release this morning's presentation have been posted to our corporate website at pultegroup.com. We will also post an audio replay of this call later today. I would highlight that today's presentation includes forward-looking statements about the company's expected future performance. Actual results could differ materially from those suggested by our comments today. The most significant risk factors that could affect future results are summarized as part of today's earnings release and within the accompanying presentation. These risk factors and other key information are detailed in our SEC filings, including our annual and quarterly reports. Now let me turn the call over to Ryan. Ryan?
Ryan Marshall: Good morning, and thank you for joining this morning's call. I look forward to updating you on PulteGroup's strong Q3 financial results and underlying business strategies that have positioned our operations for ongoing success. Specific to the company's third quarter results, our homebuilding operations successfully closed over 7,500 homes, which helped to drive another quarter of overall strong financial results. As Jim will expand on shortly, I am pleased to highlight that PulteGroup generated third quarter home sale revenues of $4.2 billion, operating margins of 16.8% and earnings of $2.96 per share. And given our focus on returns, I would also highlight that the company has delivered a return on equity of 21% for the trailing 12 months. These results reflect the strength of our diversified operating model, which continues to serve us well in a U.S. housing market where home buying demand has been challenging. Geographically, our diversified operating platform that spans across 47 major markets remains a key strength. While our broad reach across buyer groups, first-time move up and active adult provides unique strategic advantages that are helping us to successfully navigate today's demand dynamics. Specifically in today's market, weaker consumer confidence and stretched affordability are limiting opportunities with first-time buyers, while demand has been more resilient within the active adult segment, where we, through our Del Webb brand, are a recognized leader. For those of you that have not had the opportunity to visit the Del Webb community, think Disney Cruise ship for those 55 and older. At 500 to 1,000 homes, Del Webb communities are larger and offer amenity packages that can include everything from tennis, pickleball, fitness, spa, to social activities, food and dining. But more than anything, Del Webb communities offer personal connections in a place to belong. As we highlighted on previous calls, we are capitalizing on the brand recognition and power of the Del Webb name through our new Del Webb Explore communities. Our new Del Webb Explore brand is designed to serve today's GenX buyers looking for the amazing luxury lifestyle but without the age restriction. We are in the early stages of planning a get to know Del Webb event in 2026, and we will keep you posted on the timing. Getting back to our results, in the third quarter, traffic to our communities was higher than last year. Although conversion rates fluctuated from week to week, based on feedback from our sales associates, consumers remain engaged in the home buying process, but they are proceeding with caution given concerns, which I think range from economic weakness and job stability to stretched affordability. I think that is why by a response to the decrease in interest rates was more muted than we experienced in other periods of recent rate declines. We have always said that interest rates are a positive -- lower interest rates are a positive for housing demand, but rates don't operate in a vacuum. There is a clear offset if rates are coming down because the economy is slowing and people are worried about their jobs. I believe that is the scenario we are experiencing right now. That being said, I would note that our Q3 absorption rate of 2.2 homes per month was consistent with our pre-COVID average, although down from last year's third quarter absorption rate of 2.4. Again, while demand conditions differ by market and buyer segment, we would characterize U.S. housing demand as good, albeit competitive and with some challenges. But one in which our size and scale allow us to compete effectively. As discussed on prior calls, earlier in the year, we proactively made decisions to better align production levels with sales volumes. In the third quarter, we started 6,557 homes, which effectively equaled our Q3 sales pace. This pace is consistent with our strategy to match starts with sales as we work toward an appropriate level of inventory relative to current market demand. When setting our starts pace, our goal is to have the right level of inventory to meet core demand while avoiding excess finished spec production, thus allowing our sales team to sell from a position of strength. With our average build cycle now down to just 106 days, we can carry less inventory and still be responsive to any demand acceleration in Q4 or as we enter 2026. Along with adjusting our pace of production, earlier in the year, we moderated our planned land spend for 2025 and remain on track to invest approximately $5 billion in land acquisition and development. At over $5 billion, our land spend would be down 5% from last year, but we remain in a strong position with a healthy land pipeline. A pipeline that can enable us to grow the business when home buying demand increases. Let me finish my comments by recognizing and saying thank you to the entire Pulte team. They have truly done an outstanding job navigating 2025's evolving market conditions, while staying focused on delivering outstanding quality and service to our home buyers. You've done an amazing job team. Now let me turn the call over to Jim for a detailed review of our third quarter results. Jim?
James Ossowski: Thank you, Ryan, and good morning, everyone. I appreciate the opportunity to review PulteGroup's Q3 financial results. In the third quarter, Pulte's net new orders totaled 6,638 homes to 6% lower than the third quarter of last year. The year-over-year decline in Q3 net new orders reflects a 10% decrease in absorption pace, partially offset by a 5% increase in our average community count to 1,002 communities for the quarter. As a percentage of starting backlog, our cancellation rate for the third quarter was 12%, which is modestly up from 10% last year. On a sequential basis, the Q3 cancellation rate was up 60 basis points from the second quarter, which tells us that most home buyers once under contract remain committed to their home purchase. As Ryan noted, our third quarter absorption pace is 2.2 homes per month compared with 2.4 homes per month in Q3 of last year. Higher demand in the quarter reflected a typical seasonal pattern, although core demand in 2025 has been below what we experienced in 2024. Broken down by buyer group, net new orders among first-time buyers were down 14% from last year, and our move-up business was down 3% -- as has been the case throughout 2025, our active adult business remains our strongest buyer group as net new orders increased 7% over Q3 of last year. In the third quarter, net new orders within our active adult business benefited from both an increase in community count and absorption pace. Active adult sales represented 24% of Q3 net new orders. And as we have shared on previous calls, most of these homes will be delivered in 2026. Home sale revenues in the third quarter totaled $4.2 billion, which is down 2% from last year's Q3 revenues of $4.3 billion. The decline in home sale revenues reflects a 5% decrease in closing volumes to 7,529 homes, partially offset by a 3% increase in average sales price of $564,000. Closing ASP benefited from the geographic mix of deliveries realized in Q3 of this year. By buyer group, closings in the third quarter were comprised of 39% first-time, 39% move-up and our active adult business represented 22%. This is generally in line with our mix in the third quarter of last year when our closings were 40% first-time, 40% move-up and 20% active adult. Reflective of Q3 orders and closing volume, we ended the third quarter with a backlog of 9,888 homes valued at $6.2 billion. In the third quarter of last year, our backlog was 12,089 homes with a value of $7.7 billion. We ended Q3 with 15,096 homes in production, of which 7,369 or 49% were spec homes. In absolute numbers, our quarter end inventory of spec homes was down 1% from the third quarter of last year and down 16% or almost 1,400 houses from the start of this year. Our field teams have done an excellent job managing starts as they work to balance inventory levels with consumer demand. Given current sales trends and specifically the number of built-to-order contracts we are executing, specs are likely to remain closer to 50% of production for the next several quarters, which is higher than our target range of 40% to 45%. Since spec homes continue to make up a large percentage of overall sales, we are comfortable with our strategy for managing our spec position. Based on sales activity and the number of homes in our production pipeline, we expect to close between 7,200 to 7,600 homes in the fourth quarter. Given this guide for expected Q4 closings, the math tells you that we could exceed our previous guidance as full year closings likely end up in the range of 29,000 to 29,400 homes. We still have homes to sell and close to achieve these numbers as we are focused on converting spec inventory into closing and finishing the year strong. Given our backlog, production pipeline and recent order trends, we are still guiding to our average sales price of closings to be in the range of $560,000 to $570,000 in the fourth quarter and the full year of 2025. Looking at our land pipeline, we continue to expect our community count in the fourth quarter to be 3% to 5% higher than the comparable prior year period. In line with our previous guidance, we reported a third quarter gross margin of 26.2%, which on a sequential basis is down 80 basis points from Q2. Pulte's third quarter gross margin is inclusive of higher incentives incurred during the period, resulting from demand conditions and local competitive dynamics. Incentives in the third quarter were 8.9% of gross sales price, which compares with 7.0% last year and 8.7% in the second quarter of this year. While incentives moved slightly higher, teams are doing an excellent job controlling build costs, which at $79 per square foot were consistent with the prior year and with the second quarter of 2025. Let me just add a quick update here to our prior comments regarding the impact of tariffs. At this time, we estimate that tariffs will effectively have little to no impact on our closings in Q4 of 2025, but they could increase build costs by roughly $1,500 per home starting in 2026. We will provide a more definitive estimate on tariffs when we report our fourth quarter earnings in January. Factoring in current demand conditions, the generally competitive local market dynamics and our goal of reducing excess finished spec inventory, we now expect fourth quarter gross margins to be in the range of 25.5% to 26.0%. For the third quarter, SG&A expense was $401 million or 9.4% of home sale revenue. This is comparable to prior year SG&A expense of $407 million or 9.4% of home sale revenues. In the face of current market dynamics, we remain focused on appropriately controlling our overhead spend and finding opportunities to lower expenses while still delivering the build quality and buying experience for which Pulte is known. Given the success of our efforts, we are maintaining our previous guide for full year 2025 SG&A expense to be in the range of 9.5% to 9.7% of home sale revenues. Our financial services operations reported third quarter pretax income of $44 million, which is down from $55 million in Q3 of last year. Pretax income for the quarter was impacted by lower closing volumes in our homebuilding operations and a lower capture rate in the period. Our mortgage capture rate in the third quarter was 84% compared with 87% last year. For the third quarter, PulteGroup's reported pretax income was $768 million. In the period, our tax expense was $182 million or an effective tax rate of 23.7%. Our effective tax rate in Q3 benefited from the purchase of renewable energy tax credits. For the fourth quarter, we expect our tax rate to be approximately 24.5%, assuming no discrete period-specific tax events. We reported third quarter net income of $568 million or $2.96 per share. In the third quarter of last year, the company reported net income of $698 million or $3.35 per share. PulteGroup's third quarter earnings per share was calculated based on 198 million diluted shares outstanding. Our share count is down 5% from the prior year as we continue to execute our stock repurchase program. In this year's third quarter, we repurchased 2.4 million common shares for $300 million. Through the first 9 months of 2025, the company repurchased 8.2 million common shares for a total of $900 million or an average price of $109.81 per share. At quarter end, we have $1.3 billion remaining under our existing share repurchase authorization. Consistent with our stated capital allocation priorities, we invested $1.3 billion in land acquisition development in the third quarter with 54% deployed toward the development of our existing land assets. Year-to-date, we have invested $3.8 billion in land acquisition and development as we work to maintain a reliable pipeline of near- and long-term buildable lots. We ended the third quarter with approximately 240,000 lots under control. On a sequential basis, it's down 9,000 lots from the second quarter as we elected to walk away from certain option deals that were years out and early in the entitlement process. These actions are consistent with our disciplined land underwriting practices and capital allocation process. Our ability to proactively manage our land pipeline demonstrates the importance of our differentiated approach to controlling critical land assets. As we have highlighted in the past, over 80% of Pulte's land option was the underlying land seller, the remainder structured with one-off transactions with a select number of land bankers. We remain disciplined in executing our option strategy and we focus on enhancing project returns and mitigating market risk. Based on operating results through the first 3 quarters of 2025 and adjustments we have made to this year's production and planned land spend, we still expect cash flow generation for the full year to be approximately $1.4 billion. Let me close with a few comments about our balance sheet. We ended the third quarter with $1.5 billion of cash and a debt-to-capital ratio of 11.2%, adjusting for the cash balance, our net debt-to-capital ratio at quarter end was 1.1%. Now let me turn the call back to Ryan for some final comments.
Ryan Marshall: Thanks, Jim. Before opening the call to questions, I wanted to provide some additional color as to the market conditions we are experiencing. Generally, buyer demand in the third quarter reflected a typical seasonal pattern, although buyer demand at the local market level also reflected new and existing home inventories, which in a number of markets remain elevated. Seasonal demand trends remain on track through the first few weeks of October with traffic and buyer interest generally comparable to what we experienced in Q3. From a sales standpoint, we are now in the seasonally slowest part of the year, but we remain optimistic that lower rates in combination with the strong economy and higher confidence can ultimately work to energize new and just as importantly, existing home sales. For obvious reasons, we focus on the new home market, but demand within existing home market remains soft, resulting in elevated levels of inventory. To the extent that lower rates can revitalize existing home sales, it will be a positive for U.S. housing. Specific to PulteGroup's third quarter results, we experienced better home buying demand in parts of the Midwest, Northeast and the Southeast in markets ranging from Cleveland, Charlotte and the Coastal Carolinas to Tennessee and D.C., Northern Virginia. I'm also extremely pleased again to call out the relative strength of our Florida operations as our teams there continue to execute at a very high level. As you can see in this morning's press release, third quarter net new orders for the state of Florida increased by 2% over the prior year. Market conditions are competitive, but our local teams are led by experienced operators who have assembled exceptional land pipelines over the years. As has been the case for much of the year, consumer demand in our Texas and Western markets remained soft in the third quarter. You have heard me say before that we can't be margin proud. So when operating in more difficult market conditions, our local teams understand the importance of finding the market and turning assets while not giving away price needlessly. That is the approach we continue to take as we compete for sales and work to sell through finished inventory. I think it's fair to say that home buying demand in 2025 has been more challenging than the industry was anticipating. And while it has been more challenging, I think PulteGroup's year-to-date results continue to demonstrate the importance of our diversified and balanced approach to the business. With a platform that extends across multiple markets and buyer groups and a business model that allows for greater operating flexibility, we continue to deliver strong cash flows and high returns. Before wrapping up, I think it's appropriate to offer some thoughts about comments issued recently by President Trump regarding the need for more housing and better affordability. We agree with the President's perspective as it is consistent with industry estimates that routinely reference an underbuild in this country of 3 million to 4 million houses. While the supply deficit certainly has an impact on affordability generally, the complexities of the new home construction industry dictate that tackling a problem of this scale requires a coordinated and comprehensive approach that brings together federal, state and local leaders working in partnership with the new home construction industry. We share the President's focus on housing and wanting to make the American dream more attainable for everyone. We look forward to helping address the issue of housing in America and working with the administration and developing actionable solutions that are consistent with Pulte's long-term strategic plans. Now let me turn the call over to Jim Zeumer.
James Zeumer: Great, thanks Ryan. We are prepared to open the call for questions so that we can get to as many as possible during the call. Thank you. We ask that you limit yourself to one question and one follow-up. Thank you. And I'll ask Rob to explain the process and open the call for questions.
Operator: [Operator Instructions] Your first question today comes from the line of Matthew Bouley from Barclays.
Matthew Bouley: I'd love to pick up on, of course, that last comment there, Ryan. So maybe if you can kind of delve into a little bit your dialogue with either the FHFA and the administration today. Kind of from your perspective, what's sort of the right path forward here for Pulte in the homebuilding industry? And I'm curious if you can expand on that last comment around what maybe some of those actionable solutions could potentially be.
Ryan Marshall: Yes. So Matt, in fairness, we're not going to have this call be dominated by some of the comments in recent past. There's too many positive things happening inside of our business, and we're too excited about the future strategic direction that we're going. The prepared remarks that I just shared, I think, are fully comprehensive of how we feel on the topic. We have had communication with the administration. And we certainly think it is a complicated issue that is largely rooted in local politics and anti-growth mentalities. And it's going to be complicated to unravel it, and it's going to take a coordinated effort. So hopefully, that helps, but it's going to -- it's taken us a long time to get into the situation that we're in as a country to create this structural housing shortage. It's going to take time to unwind it as well.
Matthew Bouley: Okay. No, fair enough. I really appreciate those thoughts. So maybe secondly, kind of delving into your own strategy. I think I heard you mention at the top that you're planning to run spec production closer to 50% now you had been saying for a while, you were trying to get it back down to 40% to 45%. So I mean, is this more of kind of a market-driven approach just simply saying, look, this is where the demand is better today for quicker move-in homes? Or kind of any other subtle shifts around your intention going forward from a volume and production perspective?
Ryan Marshall: Yes. Matt, there's probably two concepts here that I'd highlight. Number one, we've been saying consistently for the entire year, we wanted starts to be aligned with sales. And we'd ideally like our overall spec production to be -- our spec inventory to be 40% to 45%. That hasn't changed. Because of the challenging sales environment that we've been in, we've sold fewer to-be-built homes than we would have anticipated. And so just the way the math works out of what our overall backlog looks like, the math has yielded a slightly higher percentage of specs despite actually lowering the number of specs that we have in production. So the headline percentage is higher. We're not worrying too much about that. We're more focused on what are the actual number of specs that we have that we're comfortable with. And then we really -- what we're really focused on is more dirt to-be-built sales, which is fully aligned with how we've historically operated the company. And in due time, I think that percentage will come very much in line with where we ultimately want to be.
Operator: Our next question comes from the line of John Lovallo from UBS.
John Lovallo: The first one kind of dovetails off of Ryan's comments towards the end there about Florida and the Southeast in particular. I mean, Florida orders were up about 2.4%, Southeast was up 1%. I mean our checks seem to indicate sort of some stabilization in demand, pricing and even inventory in these markets. Just curious for your comments on those factors. Are you seeing something similar?
Ryan Marshall: Yes, we are, John. There are markets that we've been bullish on. Even if you went back 2 or 3 quarters ago when there was a lot of concern about Florida, we were pretty consistent in saying Florida is a good market for us. We've got great locations. We're not worried. And I think the results that we demonstrated over the last 2 quarters that have -- so we're now 2 quarters in a row of showing positive comps in the Florida business. And I think it is indicative, one, of the outstanding locations that we have, the buyers want to live in those communities. And then two, I think there is some good stabilization in Florida. You mentioned the Southeast as well. I think the same holds true. So these -- the Southeast and Florida are still places people want to move to. The weather is certainly desirable. From a business standpoint, the locations are generally pro-growth. They've got good tax policies. And I think those are things that are very accommodative to having a healthy housing operation.
John Lovallo: Okay. That's encouraging. And then the $79 per square foot in stick and brick being consistent, I think that, that's encouraging. We've heard on the land side that not only are builders able to get a little bit of a break on the development side, but actually able to go back and renegotiate price and take down schedules. Are you seeing anything along those lines as well that might be helpful as we move into next year?
Ryan Marshall: We are, John, we're definitely seeing some favorable terms, particularly on earthmoving and some of the underground work, things that involve heavy machinery. We're seeing more favorable terms than what we've experienced over the last few years. And those input costs that go into our future lot costs, I think that will certainly be beneficial in helping to reduce the amount of land inflation that we've been seeing.
Operator: Your next question comes from the line of Michael Rehaut from JPMorgan.
Michael Rehaut: I wanted to shift the focus from a question standpoint around the mix. And I know, Ryan, in your earlier comments, you kind of highlighted the active adult business, which is obviously a real distinction in terms of what Pulte is able to offer versus the competition. If you look at the other 2 segments over -- in the back of your slide deck, over the last 5 years, 4, 5 years, you've had the move-up business kind of shrink from 45% to 38%, the first time go from 31% to 40%. So I'm curious as you look at '26, '27 and obviously, talking about higher margins for the move-up business as well as active adult. How should we think about that mix over the next couple of years, particularly as your build times continue to come in line, and that was a big issue, I think, in offering spec and maybe shifting a little bit towards a ready-built model?
Ryan Marshall: Yes. So Mike, we've worked really hard to kind of position our land pipeline toward what we view as an optimal mix of business that's indexed against what the overall opportunity is -- starting with the first-time entry-level buyer group, we see that business in the kind of 38% to 40% range overall. So pretty consistent with where we're operating today. And I think that is indexed against the overall buying opportunity or buyer profile in the United States. The move-up business, we have intentionally brought down into that same range of about 35% to 38% ideally. And then the balance is our active adult business at 25%, so we're -- with our current sales rate, which Jim shared was basically -- we were 40%, 38%, 22 in the quarter. We're almost like perfectly indexed to where we want to be. We -- the change that you'll see continue to play out over the next few quarters will be the active adult business going up to that ideal 25%. So we like the way the business is positioned. Certainly, the first-time entry-level buyer group is one that's been more challenged in this current environment. That won't last forever. And we certainly think as the housing demand starts to return, that's a buyer group that we're going to be well positioned to serve. I would remind everyone that our first-time entry-level communities do tend to play on the higher end of the price range of first-time entry level. They're typically closer in, slightly better located. And so while it is a first-time entry-level buyer, it's not the lowest price segment of that particular consumer group.
Michael Rehaut: Yes. Great. I appreciate that, and that's an important reminder on the first-time business. I guess, secondly, I know it's a little premature to give formal '26 guidance. But I think one of the questions we've gotten and maybe not just for Pulte, but more broadly for the group is right now, you're trending backlog volumes down as of the end of this quarter, 18%. I would assume that by the end of next quarter, it might be in a similar type of ZIP code. I think a lot of people are kind of struggling with volume growth, the prospects for volume growth next year, even if community count is up 0 to 5 or mid-single digits, which I know is probably your ongoing goal. Maybe you could kind of walk through how you get to volume growth for next year. And again, not asking for formal guidance, but either your directional level of confidence or what investors might be missing?
Ryan Marshall: Yes. Mike, we'll look forward to giving kind of full 2026 guidance at the end of our next quarter as we wrap up the full year. So stay tuned for that. That said, we've got an amazing land pipeline that we've worked incredibly hard to build over the last 3 to 4 years that is very much in line and prepped for us to continue to grow our business. We certainly see -- need the consumer and the market to cooperate with that. And what you've heard from us is we're going to continue to be balanced in our start rate to make sure that, that's responsive and reflective for the actual demand that we're seeing. Some of those things we can't control. All that said, we are seeing some things out there that I think if they shape up with rates that come down a little bit, consumer confidence improves a little bit. We know that there is a desire for homeownership, and we certainly think that we're well positioned to capitalize on that. The other piece that I think sets us up for success next year is our build time. We're down to 106 days. And in some of our entry-level starter communities, it's even faster than that. So we've really got some time before we need to make the decision on ramping our production levels. To deal with the prospect of growing our business in 2026 over what we've done in 2025. So we remain pretty positive and optimistic, Mike, about kind of where the business is at and more importantly, what the opportunity is. And stay tuned for kind of our full 2026 guide at the end of next quarter.
Operator: Your next question comes from the line of Alan Ratner from Zelman.
Alan Ratner: First question, Ryan, I'd love to get some of your thoughts on kind of where the consumer sits today. You had a comment in the prepared remarks saying in a vacuum, lower interest rates are always good for housing. But maybe right now, people are perhaps incrementally worried about either their job or the direction of the economy. And I'm just curious whether over the last 60 or 90 days, have you actually seen -- however you kind of think about this or quantify it, have you actually seen the consumer looking and feeling more stretched that's coming into your communities? Are you having a harder time getting buyers qualified? Are you hearing more concerns about the direction of the economy? Any color you can give would be great.
Ryan Marshall: Yes, Alan, I think the majority of the focus that I would probably share is around consumer confidence. And so the benefit that we've seen when rates have come down has been the overall lift in consumer confidence. The actual financial benefit from rates coming down is still not at the level that we're incentivizing with our forward mortgage commitments. So the rates we've been offering and continue to offer are far better than anything that the consumer will get by a change in the interest rate environment coming -- getting better or coming down. So what we're kind of looking toward and for is some improvement in the kind of overall footing and foundation of consumer confidence. There's a lot that goes into that. We're at a doggone near at a 10-year low. So hopefully, we're kind of bottoming out on that, and we can start to turn that around and go the other direction. You combine that with the opportunity potentially for some further rate cuts this year and into next year. And I think the industry can be in a tremendous position to capitalize on what is that underlying desire for homeownership and housing demand. We know there's a structural shortage of housing. And if we can just get consumers confident about making this major purchase in their life, I think we can see some upside in '26.
Alan Ratner: Great. I appreciate those comments, Ryan. Second question, pivoting back to the government, but not necessarily, I guess, what everybody has been most focused on. There has been some good news coming out. I mean I think the Senate recently passed a bill called The ROAD to Housing Act, which seems like it has a few pieces in there that could be longer-term positives for your business. We've heard a little bit of chatter about the potential for purchases of MBS by some entity. I know Jerome Powell kind of threw some cold water on that. But I'm curious if you're seeing either anything in that bill or any other chatter you're hearing that could actually be near-term or intermediate-term positives for housing demand in your business?
Ryan Marshall: Yes, Alan, what I would highlight, trying to stay neutral on the political spectrum, we're seeing left, right and middle politicians talk about housing. And that's the piece that I think we should all be focused on is this country, we all want to grow the economy. We want to see jobs growing. And we need to strike the balance that as we grow jobs, we've got -- and we have new jobs, we need new homes to go with those jobs. And if we can get our political leaders, community at both the federal, state and local level to really focus on saying housing is an essential ingredient to growing the economy. That's where I think it's positive. So whether it's conversations that are happening in the Senate or in the executive branch or at your local city council, if we can put some things in place, and I would really boil it down to a simple formula of the general rule of thumb is for every 2 jobs that are created, we need home -- so if we can focus on a mantra of 2 for 1, 2 jobs, 1 home, and we can work on policies that put that into play, I think over time, we could really see ourselves work out of this structural housing shortage that we've created.
Operator: Your next question comes from the line of Stephen Kim from Evercore.
Stephen Kim: Good job in a really tough market. I wanted to talk about the incentives a little bit. I think you brought up the forward purchase commitments. But I think you said incentives, if I heard correctly, were 8.9%. I think last year, they were 7.0%, so kind of up about 190 bps and at a pretty high level, obviously. So I'm wondering, first of all, just to get our facts straight, how much of these incentives at this point, would you classify or categorize as financial incentives, like closing costs, rate buydowns, forward purchase commitments and stuff like that? And are these reflected in ASP or COGS? And compare that to like upgraded features and stuff, like nicer countertops and all that kind of stuff. And are they in ASP or in COGS, just to level set our understanding?
James Ossowski: Yes, Stephen, great question. So any of the incentives that we have, whether it's in the form of financing incentives or, say, a discount to your point on some of the options that we might give people off, those are a reduction in your gross sales price, so they're a reduction in your ASP. The financing incentives are probably about 1/3 of the total incentive package that we report each quarter.
Stephen Kim: Okay. So about 1/3 are financial. So the majority of yours are like upgraded features and stuff like that just to clarify.
James Ossowski: Yes. It would be -- if we want to give you some money off in a design center, maybe you have a finished spec inventory, you give a little bit of a discount on that. So that's about 2/3 of the mix.
Stephen Kim: That's great. That's not a lot. So that's encouraging that not a lot are financial. But if we could drill a little bit deeper. So within the financial incentives, how much -- I'm trying to get a sense how much is like forward purchase commitments specifically versus like regular rate buydowns and closing costs and stuff like that. Maybe like if you could give us a sense for how much have you spent this year on forward purchase commitments or maybe what principal amount has that covered and that sort of thing, if you have any detail you can share there?
James Ossowski: Yes. I mean the forward commitments, I'd tell you, probably roughly 30% of our consumers actually use that. So it's not a large percentage in total. But I would tell you financing incentives have been around forever. If you go back even pre-COVID times, those have always been there and probably 80% of our customers have had some sort of financing incentives. So I'd say it's probably maybe half of it is some of the forward commitment. But again, we're always looking for things that we can go ahead and help consumers as they're looking to kind of find the right financial payment that they need every month or closing costs to get them over the finish line.
Operator: Your next question comes from the line of Anthony Pettinari from Citigroup.
Anthony Pettinari: I was wondering if you could drill down a little in terms of the bridge between the current 4Q gross margin guide, 25.5% to 26% versus the prior, I guess, 26%, 26.5%. And I guess, specifically, kind of how to think about the impact of lower mortgage rates, maybe making those buydowns cheaper for you versus maybe any kind of other offsets you'd flag?
James Ossowski: Yes. Great question. So I would tell you the forward commitments or mortgage buydowns, really, it's not that impactful. Rates have moved a little bit, but it's really not there. It's really -- as we step back and we created the guide for the fourth quarter, there's a lot of moving parts and pieces in there. We look at the backlog we have, we look at incentives that we have on the sales floor today. Speculative inventory, we talked about that. We have to stay competitive in particular markets. So as we created the guide and we looked at it, it was really a matter of kind of putting all the parts and pieces together. And I'd say moving some of that spec inventory is what drew us to the conclusion to lower our guide a little bit going into the fourth quarter.
Anthony Pettinari: Okay. That's very helpful. And then just one -- maybe one policy question, if I could. Does the shutdown hinder your ability to offer mortgages at all? Or does it impact closings or any other kind of part of the home buying process?
Ryan Marshall: To this point, no. Now there are certain loan programs that we don't use very often that are impacted. But for the shape and size of our business and the types of programs that we use, we've not been impacted to this point.
Operator: Your next question comes from the line of Mike Dahl from RBC Capital Markets.
Michael Dahl: I wanted to follow up on the incentive comments and just talk a little bit more about the trajectory of incentives. Maybe you can elaborate on the order trends because you talked about kind of normal seasonality on orders traffic continuing into October. So relative to that 8.9% incentives in the 3Q closings, how did your incentives on orders trend through the quarter? And can you be more specific on what level of incentives is embedded in the 4Q gross margin guide?
James Ossowski: Yes. I would tell you that incentives through the 3 months of the quarter were fairly consistent. As it relates to kind of the guide, I'd step back as we created the guide, I mean, there's about 1,000 homes that we have to kind of book and close within the quarter. So when we came up with the guide, we had to make assumptions about where we were going to sell them, when we were going to sell them. And so those all factored into it. So we haven't gotten that more granular, but we've assumed that as we move some of the spec inventory in the fourth quarter, we feel comfortable with the guide that we presented.
Michael Dahl: Got it. Okay. As a follow-up, I guess this edges into 2026 comments. But when you think about the 25.5% to 26% and your comments that spec mix is likely to remain at 50% for the next few quarters, just given the dynamics today, should we be thinking about if incentives are stable and spec mix is stable, that's kind of the baseline going into next year, understanding that you highlighted some of the tariff impacts as well and then there's moving pieces around rates. But any comments you could provide on kind of how to think about beyond 4Q?
Ryan Marshall: Yes. Mike, we'll hold on that. Like I shared when Mike Rehard asked the question, give us 90 days when we report Q4, we'll have full 2026 guidance for you and kind of break it all down.
Operator: Our next question comes from the line of Rafe Jadrosich from Bank of America.
Rafe Jadrosich: So first, can you talk about where you are in terms of finished specs per community today and where you want that to be and how you're planning starts going forward?
Ryan Marshall: Yes, Rafe, we have right around 2,000 finished specs. So it's about 2 per average community. It's almost double where we'd ideally like to be. We generally like to run somewhere around 1 per, slightly more than 1 per maybe 1.2 finished specs per community is ideal for us. So like I said, we're a little higher than we'd like to be. Part of that is rolled into the incremental incentive load that Jim has been talking about. We're not exactly worried about the inventory position, but we'd like it to be lower to be optimized. So the rate at which we've been starting homes is perfectly aligned with where we want to be in terms of kind of a sales rate. We'll continue to chip away at the kind of the finished specs, and that will be part of -- we think as we move into 2026, we'll get that kind of normalized, and we'll start to work our way back into the optimal balance of finished specs total specs as a percentage of inventory and then really focused on increasing the number of dirt sales or built-to-order sales that we have, which is the ideal place for us to be in terms of how we run our business.
Rafe Jadrosich: Great. That's helpful. And then when we look at the sort of SG&A guidance for the fourth quarter, it's a pretty wide implied range. Your sales are down year-over-year just because of the base you had from last year. I think like on the low end of the SG&A guidance, you have your levering and then at the high end, you deleverage. What sort of gets you to the high end or low end of the range where you're able to leverage or not leverage? Like what are the puts and takes there?
James Ossowski: As we look at it, I think our Q4 SG&A fairly consistent with where we are in Q3. We've got a wider range as it relates to our closing guide. As we said, we've got a lot of spec inventory that we're looking to move in the quarter. So that probably toggles it. But I would tell you, there isn't anything out of the norm that I would point to with our SG&A in the fourth quarter.
Operator: Your next question comes from the line of Sam Reid from Wells Fargo.
Richard Reid: Just following up on an earlier question, what's the lag between lower historical -- or lower horizontal development costs and when that actually hits the P&L? Is it 2 quarters? Is it 3 quarters? And not looking necessarily for 2026 guide here. But if you are seeing lower horizontal development costs, could that potentially be a favorable lever for lot cost inflation in 2026?
Ryan Marshall: Land development generally runs 9 to 12 months, depending on the geography and the size of the phase that you're developing. So things we're developing right now in Q3, Q4 will have a favorable impact in the back half of '26 potentially and then kind of fully impacted in 2027.
Richard Reid: That helps. And then switching gears, I just want to quickly touch on Del Webb/active adult. You're still building very large communities, but you're also building, say, smaller communities relative to what you might have historically. I'm looking at, I think, around 750 or so units at the midpoint. Does this at all kind of change the margin profile for Del Webb as you rebuild your pipeline of active adult orders? Just want to think about margin implications there.
Ryan Marshall: We -- Sam, we've been building communities of that size now for about a decade. So that is what our Del Web business has been. We have a few less than 5 legacy communities that are of the older vintage, very large 2,000 and 3,000 unit plus Del Webb communities. But there's not really anything in our Delaware business that's different from what it's been that would have an impact on the margin profile of how those communities have historically performed.
Operator: Your next question comes from the line of Susan Maklari from Goldman Sachs.
Susan Maklari: Is thinking a little bit more about the regional variations that you mentioned in your remarks. It sounds like Texas and the West are especially tough relative to what you're seeing in the Northeast and much of the East Coast. When you think about those dynamics, are there different variables that you need to see in order to get some of those markets that are underperforming to come back? Is it all related to rates and jobs or other affordability? Or are there other factors that are going on at a local level that are influencing some of the differences you're seeing on the ground?
Ryan Marshall: Yes. Sue, I think as it relates to Texas, there was a buildup of inventory there post-COVID, along with rapid price appreciation and the combination of those 2 things, the Texas markets have been working through that. We're seeing progress being made. We're still selling homes there. still good jobs and a lot of people that want to be in Texas. So we think we're at a moment in time. We're not overly worried about it. As it relates to California, I think we're dealing with a very high-cost state that's also got a lot of tech-dependent jobs. And some of the -- I think the concern and the challenges around the tech industry have played into consumer confidence with the buyers that work in those spaces or in those job categories. And there's a lot there. I won't unpack every single one of them. And then you just combine that with kind of overall high prices and challenged affordability. And I think that's what's made Northern and Southern California more challenged, but I put Seattle in the same category for a lot of the same reasons.
Susan Maklari: Yes. Okay. That's helpful. And then thinking about capital allocation, you obviously have a very strong balance sheet. The cash flows are healthy despite everything that's going on out there. Can you talk to your willingness to ramp shareholder returns or how you're thinking about priorities in general in terms of uses of cash?
Ryan Marshall: Yes. Sue, we have a really thorough detailed process for how we think about capital allocation. Our view is always to generate the best outcome for our shareholder. whether it's about capital allocation or the number of homes we're building or the amount of spec inventory that we're carrying. I mean we really think about what's going to yield optimal return on invested capital. So we meet with our Board often, and they take a very active role in working with us as management to find the best outcome for capital allocation. We've been very consistent with share buyback, and we've been very consistent in laying out our priorities of we want to invest in our business first and foremost. That's what our investors have charged us with. They've given us their capital to say, go invest in your business, go grow your business. We do that to the level that we believe generates great results. And then we think about returning cash -- excess cash that's being generated by successful operations in the business. And that's what we think about returning. Fortunately, for us, over the last number of years, we've been able to do everything. We've invested in the business. We've grown our land pipeline. We've increased our dividend several times. We've paid down debt, and we've continued to be a consistent buyer of our own equity. So we'd like to continue to do everything, but we'll go through kind of the prioritization and the priority setting in that way, invest in the business, pay our dividend, return excess cash to shareholders.
Susan Maklari: Thanks for all the color, and good luck with the quarter.
Ryan Marshall: Thank you.
Operator: And our final question comes from the line of Ken Zener from Seaport Research.
Kenneth Zener: Ryan, I think you talked about incentives generally. So Texas and the West, which Texas is a little more, right? There's 4 big markets there. So can you talk about perhaps the 8.9%, how that's distributed amongst the regions awaiting your Q. But also, if you could substitute the word you talked about consumer confidence -- when we look at job growth, we see it half the long-term level in places like Dallas. I'd call that lack of jobs, which you obviously mentioned, but could you talk about how that is also impacting your buyer group, so active adult, let's say, Georgetown, Texas versus the entry level? If you could add that dynamic.
Ryan Marshall: Yes. So Ken, in terms of kind of the distribution of incentives, broadly, I would tell you less incentives in places like Florida and the Southeast, Northeast, Midwest, more incentives in Texas and the West, which is -- it's totally distributed and aligned based on where things are harder to sell, where things are easier to sell. Slicing it any thinner than that is probably more than we'd want to get into on this call. In terms of the Texas markets and slowing job growth, I'd probably not over-index on that. Dallas, in fact, all 4 Texas markets are places where population is growing and jobs are growing. And as long as you have those 2 factors, you can and will have a thriving housing environment. And the Texas markets satisfy both those criteria. Growing jobs, growing population. So the fact that the rate of change is a little bit different, I probably wouldn't read too much into that just based on one period of slightly lower job growth.
Operator: And that concludes our question-and-answer session. I will now turn the call back over to Jim Zeumer  for closing remarks.
James Zeumer: Great. Thank you, everybody, for their time this morning. We're certainly available for the remainder of the day if you have any follow-up questions. Otherwise, we will look forward to speaking with you at the end of the fourth quarter. Thank you.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.